Unidentified Company Representative: Good afternoon, ladies and gentlemen, and welcome to the Sylvania Platinum Interim Full Year Results Investor Presentation. Throughout this presentation, investors will be in listen-only mode. [Operator Instructions]. The company may not be in a position to answer every question received during the meeting itself. However, the company review all questions submitted today and publish responses where it's appropriate to do so. These will be available via your Investor Meet Company dashboard and we’ll send you an e-mail to notify you when they're ready for your review. I'd also like to remind you that this presentation is being recorded. Before we begin, we would like to submit the following poll. And if you could get that to your kind attention, we'd be most grateful.  And I’d now like to hand over to Jaco Prinsloo, CEO from Sylvania Platinum. Good afternoon.
Jaco Prinsloo: Good afternoon, Mark, and good afternoon, everyone is on the call and thank you for joining us for this presentation. And, it's a great opportunity for us to, again, engage with you on this platform. I think it’s the third Investor Meet Company presentation that we do. And, it's been very useful in the past and the feedback is very valuable. So, thank you very much for joining in and giving us opportunity to engage with you. Myself and Lewanne Carminati, CFO will be taking you through the presentation to try and highlight the most significant points. And as Mark said, to the end, we'll try and address some questions for you. Let's kick off. If you look at the 2021 as a year in summary and just a snapshot, I think it's a year we’re very pleased off. I am very proud of what our team has managed to achieve this year. We've managed to achieve our stated forecast of 70,000 ounces for the year and those are marginally up about 1% from the previous year. It was done under difficult circumstances, where we've been experiencing lower feed grades and PGM recoveries from the ore mix we have and our plants. Every single plant exceeded their production capacity and we've made a 17% increase on overall tonnes treated for the year. Then combining that with the favorable PGM basket price we’ve experienced during the year, we've had on our specific basket, about 83% increase year-on-year on the basket price, primarily boosted by rhodium, to which we have a unique exposure. But -- so a very good environment for us and those production combined with the basket prices, assisted us to post record revenue and profit figures for the year. And our revenue was up 79% year-on-year, and the net profit 143% up. And with all of this and the cash we've been able to generate, we are in a fortunate position where the Board has been able to declare a dividend of 4p for the financial year passed, and which will be payable in December. And that's following on from the recent 3.75p, the windfall dividend that we have just paid in April this year. So overall, I'm very pleased with the results.  The two areas that we do need to focus on and offer this -- one is the PGM recovery, which I've mentioned now and I'll touch a bit on -- more shortly on it. And then the other one is group operating costs, our cash costs, and Lewanne will elaborate a bit more in her presentation on it. If we just look at our safety, sustainability and ESG and I think we all would know that ESG means a lot of different things to a lot of different people. But obviously, for us at Sylvania, it means those systems, principles and activities that shape the culture of our organization and how we interact with both our environment and the communities. It's, we have been very strong on ESG elements throughout our history as an organization with excellent safety records, good engagement with our communities, excellent environmental records. So it's something, we've always been doing, it has been entrenched in our values and properly communicate and list by our employees. We do recognize in recent years and probably well more months than years, especially the focus on specific ESG reporting in line with the United Nations, Sustainable Development Goals become a lot more important for investors and institutions to see in order to benchmark companies and we are focusing a lot more now to try and align our reporting in that regard. But as I said, we've always had a very strong performance and we'll continue to perform in this regard.  Just touching on some of the elements of our safety, health and sustainability in the ESG parts. From a safety perspective, on its own, we've made an excellent track record to date, in just over 14 years of operation, we've been fortunate enough not to have a single fatality to date. And I mean the part of our low risk business model, where we don't have any underground mines, it assists us to achieve that, in that regard. We do however are focused in on the next significant injury and that is lost time injuries and we are very proud that we have operations like Doornbosch who have achieved 9 years LTI-free, lost time injury free during the year. We have, unfortunately, had two lost-time injuries across the six operations. And that was at Millsell and Tweefontein. But I think also worth pointing out that Tweefontein was at 8 years LTI-free at the time and Millsell 5 years LTI-free, when they had those accidents. So I think overall a very strong record. In terms of environmental, we've also been fortunate that we haven't had any environmental incidents since the inception of the company, or significant incidents and reportable incidents. And we are focusing a lot more on getting now carbon footprinting and assessments done and understand where we stand in terms of the more parameters, the reportable parameters as I mentioned earlier in terms of the ESG. One of the areas where I think we've made great progress during the past year was in terms of process water consumption, where we've increased -- decreased our consumption, improved our efficiencies, by a reduction of 8% year-on-year. And a large contributor to that was our initiatives where we are recovering, scavenging seepage water on the perimeter of our tailings dam facilities and returning that to the plants and that they've been very good to us. And then finally, just our energy consumption. We have significantly lower energy consumption per tonne treated in conventional mines and primary producers. So again, a very good achievement there. If we look at our employees and communities, obviously, both our employees and communities are extremely important and critical for us to achieve our success of our business. And we continually engage with both of them and there are various initiatives that one could list and row, discuss. But maybe just to point out one or two in the employees, probably one of the -- ones we are the proudest about is the rollout of our Employee Dividend Entitlement Plan during the period, where we are giving opportunities -- our employees the opportunity to share in dividend payments, and we've -- already in the past year, they shared in the annual dividend part of 2020 and also the windfall dividend.  From a community point of view, again as I said, there are various ones we do but I think what was positive for me during the past year was especially in terms of the success and the fruits from our training learnership programs where we train specific employees from the -- our communities in terms of metallurgical and engineering skills, artisans, which are the scarce skills and we have quite young operations, and we've been able to employ quite a couple of people completing those learnerships successfully and I think that's a good indication to us that we're just not employing at the low level of where the employees are in the community, but we’re also upskilling them and making a difference.  Okay, if we focus now our attention more directly to the operations and just to orientate you a bit on where our operations are situated. Our operations are typically situated in the North West and Mpumalanga provinces of South Africa, and that’s almost in the Central or Central to Northern part of the country, on the Eastern and Western Bushveld respectively of the Bushveld Complex in South Africa where all PGMs and chrome resources are situated.  The orange dots indicate our Sylvania dump operations that are currently in production and currently adding revenue and ounces to the business and while the green dots indicates our exploration and mineral asset projects on the Northern Limb of the Bushveld Complex.  When we look at the production profile for the past year, you can see we have had the 70,000 ounces and we are again forecasting to do 70,000 ounces for this -- for the 2022 financial year. And then we are forecasting growth for 72,000 to 73,000 ounces up to 2023 and 2024. That particular growth specifically is coming from the execution of our Lesedi and Tweefontein MF2 projects, that Lesedi to be commissioned in the second half of this financial year, and then Tweefontein in the first half of the next. These modules are similar to the previous Project Echo modules were rolled out, proven technology, proven benefits and we're quite confident that it's a low risk addition to the business.  And on the negative side, only a mild setback in terms of our Lesedi operations where we had to suspend -- temporarily suspend our production during August related to tailings dam, but I'll discuss that a bit more in the focus area slides.  So just looking at the opportunities, and I think I've mentioned already the secondary milling and flotation which is quite proven and a concept that we've identified long ago. So I'm not going to touch too much on that now. I think the -- we've been talking for a long time I’d say where would external growth opportunities come from and we continuously engage with third parties or external parties to find, identify and evaluate resources. So one such example is off-take that we've managed to secure during the past six months. And the way we see it is in the near-term and immediate to near-term about 2,000 to 3,000 ounces PGMs per year we can do. But we're also embarking on further sampling and evaluation work to see how we benefit and explore and optimize the assets to gain more PGMs.  Most gold mine, that's when they develop the mine and the process focused purely on the chrome part of it. And once you add, especially in the current market environment, you add the PGM side to the business, you're able to achieve a lot more with the business. Fine chrome recovery is also one of our R&D initiatives that is turning into a commercial opportunity now, and that's where we are focusing on recovering the really fine chrome that our plants are not able to recover, and that unlocks the potential from tailings dams, historically sterilized or see it didn’t sterilize, that you can unlock that now. So the idea is that you supplement your PGM revenue stream by increased chrome revenue stream from those products. And therefore you can retreat lower grade dumps again and extend life of operations, and we are well-advanced to some of those opportunities. And then obviously, our strong cash position assists us to enable us to do all that R&D addressed.  On the challenges side, and I think it just may be to touch on, and I've said earlier, we've been experiencing lower recoveries and PGM grades because of the ore feed blend, and that's still associated with our host mine slowdown that started about early last calendar year, related to the downturn in the chrome markets. We are seeing the chrome markets to recover. But based on our formal communications we've had to date, we expected this scenario to last another 6 to 12 months. But there are already signs from other chrome miners and analysts that say that at the current price, it's the current trajectory that these they might be sooner. However, in the meantime, because we are supplementing these current risings and raw material with open cost sources, it's more oxidized. It's typically lower grade, and that has a knock-on effect on both our costs and the process efficiencies.  The suspension of the Lesedi tailings dam, maybe to put it in perspective, that is the current tailings that's been commissioned in about prior to 2009 on the Lesedi operation, which was then known as the Phoenix operation and Sylvania acquired that operation in 2017. So, what we have determined through our routine inspections and monitoring activities on the mine is that there's an increase in the phreatic surface or the water level in the dam, that would mean that we could sacrifice the integrity of the dam if we continue to operate and then implement mitigating measures. So, we have taken the proactive and cautious approach to rather suspend the operations at Lesedi. And so, that we don't put the operation or environment or our people at risk. And, we are, as I said, busy with a couple of mitigating measures to try and see if we can get that operation running in the next four to six weeks. We’re also in the process of constructing the new Lesedi tailings dam, which has been designed and approved quite some time ago already, and it's always been the plan to go into that dam by the end of the year, and we are just now balancing the period in between.  In terms of the COVID pandemic, we were fortunate even after the phase 2 and the second and third waves that we haven't had any significant or, well, any production interruptions. And our productions continue. We continue to support our employees and their families where they are as individuals affected by the virus. Just to maybe put a bit of the growth plan into the perspective, I did mention, probably most of these initiatives that we're working on at the moment. But this graph at the bottom, and that just illustrate that our initial years was primarily growth by adding new plants, we started with only one plant of Millsell, building up to seven plants by 2013. And so initially, it was growth by adding capacity between 2013 and '17. We were working on efficiencies, plant throughput rates and all that. And really, if you can call it almost breakthrough decision in 2017 was to execute Project Echo. Now, if you go to the bottom of that graph, you can see a black line that shows where we would have been in terms of our ounce profile had we not done Echo in 2017 or from 2017 onwards. And a lot of times people see growth purely as the quantum of ounces per year increase, but we have also managed through our R&D initiatives and our technology to grow the company in terms of more resources, have more ounces for longer and revenue, and enable us to be a steady dividend payer at the moment.  So we are continuing, as I said, with the next two phases of that same technology, but then we are also focusing a lot more now on new resources and capacity, and to see how do we add on. We have a skill set and experience in our company that can handle and manage operations efficiently and successfully. And we're looking at our deliveries stat and we’re continually engaging with third parties to see how we merge that -- our PGM skills and experience with available resources. If you look on the exploration assets and our mineral assets, I think just a brief update is not a huge lot that happened here during -- or since the last presentation in February. We announced earlier that we've launched an additional drilling campaign at the Northern Limb resources. And that is now approximately 56% and 25% complete for the two respective resources. And we expect the drilling results and final reports by about mid next year, so say, June 2022.  On the Volspruit front, our initial mining studies and process test work has been completed. And we are now busy evaluating the PGM concentrate processing routes and off-takes as alternatives to determine what would be the best variability to get on that in order to inform our business model. And we're also just looking at alternative geological interpretation of the resource to see if we can get higher grade out of it and streamline the resource. But there will be more to report on this after June next year. Okay. And with that, I'm going to hand over to Lewanne just to take us through the financial performance, and then I'll do a close for us at the end.
Lewanne Carminati : Thanks, Jaco. As you all have noted, when Jaco went through the snapshots. Sylvania has had an exceptional year financially, and reported record revenues and profits. This is mainly due to the basket price, but still an exceptional year for us. Net revenue increased 79% on the prior, the increase in the basket price resulted in an increase of $89 million and the slight increase in ounces added an additional $1.7 million. The high rhodium price over the financial year accounted for 60% or $123 million of the total revenue, platinum 17% and palladium 14%. Ruthenium and iridium, together with copper and nickel made up 6% or $13 million.  The sales adjustment relates to the ounces delivered at the end of financial year 2020 but only invoiced in the current year as a result of the four months delay from delivery to invoice which is in terms of our off-take agreements.  On the costs, unfortunately but not unexpectedly, there is the direct operating costs increased 19% on the prior year in dollar terms. The increase in operating costs over the year -- cost year-on-year was a result of the electricity incurring an average 14.5% increase over the year and higher usage at some of the plants. The 2022 increase has not been confirmed as yet but is expected to be at least in line with 2021 or possibly higher.  We had higher remining costs incurred in order to supplement the lower ROM and current arisings from the host mines. And then this resulted in the higher oxidized open cast ROM and dump material at some of the operations where the reagents included in consumables was higher.  Going forward we anticipate costs to come down slightly as the remining costs stabilize and production increases once Lesedi and Tweefontein MF2 modules are commissioned in 2022 and 2023. It was -- it is pleasing also to note that despite the increase in our costs, Sylvania is still one of the lowest cost producers which can be seen in the Nedbank [cost kept off] which we’ve included in appendix of this presentation. You will see there we still remain in the lowest quartile. The Group EBITDA, we had EBITDA over $144 million this year, driven again by the metal prices and stable ounce production. Forecasting forward at August prices where we've seen a pullback in the PGM prices, the EBITDA is slightly lower at the consistent 70,000 ounce target for 2022. For 2023 and '24, we're forecasting increases due to the increase in ounce forecast and slightly lower cash costs. You can see from the various analysts and consensus outlooks that are included here that it's anyone's case what the price will do. And even at the lower forecast, the Group still remains profitable. We are currently forecasting somewhere in the middle of the analysts forecast, and we're quite comfortable with those forecasts.  Moving on to our capital, we had a capital spend for the year of $7.5 million. This includes both the SDO capital and the drilling program on the Northern Limb assets. The SDO capital includes stay-in-business, the Lannex ROM plant, the ultra-fine screening project at Mooinooi and two of the five tailings dams commenced in the current year. This cost is included in our SIB.  For 2022 and '23, capital is higher than previous years, as it includes all five tailings dams and the Lesedi and Tweefontein MF2 modules. And then the balance of the Northern Limb drilling programs also we have to take in 2022.  From 2024 we're only forecasting SIB at this time. Jaco did mention the two growth projects we're looking at. But as the production and revenue forecasts have been included in our forward looking numbers, we haven't included any capital forecast yet in there.  On our cash flow. Our cash balance increased from $55 million last year to $106 million, a 90% increase on the prior year. The inflow from operations was $68 million. And again, this was mostly on the back of the favorable metal process, but also stable production under sometimes difficult circumstances. Included in this net inflow is a $32 million movement in working capital, $1.6 million interest received and $48 million paid in tax. Also in that cash flow from operations is the $8.2 million we paid in mineral royalty tax. Outflow from investing activities was $7.6 million, of which $7.5 million was spent on capital and E&E assets, as previously mentioned. The outflow from financing activities was $22 million and comprised the payments of the financial year 2020 dividends and windfall dividend, which totaled $20 million, and then $1.6 million was spent on share buybacks. The Board is very pleased to have declared a 4p dividend for this financial year, and that equates to about $15.5 million at the current exchange rates, and will be payable in December this year. The company remains committed to returning value to shareholders. The Board has declared a fourth consecutive annual dividend of 4p and it's calculated in terms of our current dividend policy, which takes into account liquidity and forecast working capital cash requirements, debt covenants which are currently zero for us but is one of the factors included in the policy if we were to enter into debt, forecast capital spend, forecast metal prices, and of course any legal considerations in terms of meeting company's act. But most importantly, the payment of dividends must be sustainable in the long-term. The Board also has taken a decision that will again do a windfall calculation for the 2021 calendar year. And if the average price received for PGMs for the year is higher than the consensus pricing, there may well be another windfall dividend payable in -- declared in February, payable around April. With regard to share buybacks, this always remains on the Board's agenda. Unfortunately, we are limited to when we can buy back shares and can only do so when the company is not in a closed period. So, with a recent drop in our share price would have been an opportune time for buyback for shares in the market, the company was unable to do so, as we were in a closed period until we released our results today. We have over the last 7 years bought back 47 million shares and canceled just short of 13 million shares. I'll hand you back to Jaco now to go through the forecast and company outlook.
Jaco Prinsloo: Thank you very much, Lewanne, and I think just before we look at pricing, maybe just a recap again, in terms of our basket multiple price and Sylvania, as you might know has mining two distinct chrome dams resource, the one is LGs, the LG-6 seams, their rhodium content of up to 16% and then middle group or MG seams that is slightly lower. But both of those resources are of significantly higher rhodium content than your typical UG2 Merensky reefs that the primary platinum mining companies are mining. So overall, at almost 13% average rhodium exposure for our resources. It is a very attractive position to be in. Unfortunately, it is also a difficult place to be in when you have rhodium price falling like we've seen in the recent month or so and you tend to get harder, a lot harder than many of your competitors. However, though, we've seen the strong increase in the rhodium price over the past year. And we've -- Sylvania also mentioned earlier, 168% up year-on-year in terms of rhodium, and also attractive increases on our basket price and for our metals. And overall, our average basket price was 83%. I think it's important, when we look at the markets, that we remain cautiously optimistic about the markets. We do believe the markets are still robust, but the sharp decrease in the rhodium price recently has just indicated to you that you have to be aware of the volatility. If one look at what to forecast and I've just put here the assumptions that we've used in some of the forward-looking graphs in the presentation, and Lewanne indicated to you the sales activities on the EBITDA graph earlier. And we've listed here Nedbank investment, Corporate Investment Banking, Standard Bank Securities and also Ernst & Young consensus forecasts. And you can see that the platinum and [gold], everybody is really well in alignment. Palladium, there's a little bit more of a spread. But when it gets to rhodium, there's quite a bit discrepancy in terms of what to expect in this next year. And so going forward, so you would have the Nedbank and UI forecast saying you're around $16,000 to $18,000 an ounce for rhodium in the next year or so and then steadily declining. And Standard Bank again, a bit higher. And if you add four or five more institution analysts here, I get four or five more scenarios. But I think what I just want to illustrate is there is some variability, we are looking at that variability all the time and trying to ensure that we assess. But I think most importantly, what it makes you realize is that we can just focus on the things we can control. It's nice when we have an upswing in the market and you have the benefit. But I think the key to our success in the businesses is focusing on what we can control and look at [streamlining] and growing the business. So if we look at the year ahead and saying, okay, what it is that we're going to continue doing? I think, first and foremost, ensuring that we continue with safe and profitable production. It is that stable and profitable production that have been generating our cash during the years and been able to fund our growth projects. The last time we've relied on institutional or shareholder funding was back in 2009. And we haven't raised money since then. It was all funded out of our growth and revenue generation. And then obviously focusing on our licensed operator that goes both in terms of all the ESG principles, regulatory communities, government organization, but also very much our host mines, and ensuring that we maintain that synergistic relationship. That will enable us to then carry on with more R&D continuing to focus on the process and the technology that can kind us give us benefits. And also, the exploration projects and that we've mentioned Volspruit in the Northern Limb that would be adding value in your mid to longer term three to five years, and they all differ from now depending on what the outcome of their studies are. And then I think probably the most significant focus of the next financial year is to be more aggressive in terms of our external growth opportunities. As I said, with the recent PGM markets, there's been a lot more interest and appetite from existing chrome mining operations to look for strategic partnerships in terms of PGMs to unlock value in the near- to mid-term, and we are definitely aggressively pursuing those options and so.  So just to summarize, we are looking at doing 70,000 ounces again this year, and we're confident that we should be able to get it. We do believe the market for PGMs are still robust, in particular palladium and rhodium to remain in deficit throughout the year. And good demand for the PGMs still in that native vehicles. And we believe the platinum prices will remain healthy and robust.  In terms of capital, obviously, with the number increasing quite significantly from previous years, investors probably worry and say, you know, are you not just spending this capital too easily? And we just want to give you the assurance that we are very diligent with our capital allocation programs and our discipline in controlling it. And very specifically, we've committed capital, firstly, to growing the PGM ounce profile for strategic project improvement, and those are like Lesedi and Tweefontein MF2 projects. Then the tailings dam, storage facilities we’re increasing is at Lesedi, Mooinooi and Doornbosch with the current dams we're building. And that is specifically aimed at extending the life of operations at those mines and improving our operational flexibility in terms of how we do feed sources and what are the historical dams we’re able to remine.  And I think important to note, when Sylvania initially started back in the first plant in 2008, the idea was in 5 or 10 years’ time, these operations would have been done. And by improving technology and our R&D by expanding the processes, we've managed to prolong this business to a business that has another 10 years plus in it. So the tailings dams construction and focus now is to cater for that extended life.  And then finally, I've already spoke about the exploration assets that is longer term. So -- but we do need to see how we improve those assets and the business case and decide how we're going to progress with those projects going forward.  And then I think I've mentioned already that our dedicated focus on strategic partnerships and external growth opportunities is greatly receiving a lot of attention and one of the big focus areas.  And then just finally, taking all of it and above in consideration, what I've discussed in the presentation, the strong operational background, we coming from the consistent delivery during the past couple of years, a strong financial performance and a strong cash balance, makes me excited about the next financial year. And I think the Board as a whole is very confident and excited about the year and look forward to the rest of 2022 with confidence and hopefully we can provide you with some very positive feedback and update you on the progress as we go along during the year.  That I think brings us to the end of my presentation, Mark, and I can maybe hand back over to you.
A - Unidentified Company Representative : That's great. Jaco, Lewanne, thank you so much for updating investors this afternoon. Ladies and gentlemen, please do continue to submit your questions using the Q&A tab situated on the right hand corner of your screen. But just want the company take a few moments to review those investor questions submitted already. 
Jaco Prinsloo: Mark, I think that brings us to the end of the presentation. I'm not sure I've muted the mic here. I'm not sure how long ago it was. 
Unidentified Company Representative : No, Jaco you know I just muted you just to give you a small pause. So I'll bring you back off of mute in just one second. 
Jaco Prinsloo: So yes. 
Unidentified Company Representative : Perfect. I'd also like to remind ladies and gentlemen that your feedback is important to the company. And immediately after this presentation is ended, you'll be redirected for the opportunity to provide feedback in order the company can better understand your views and expectations. Jaco, Lewanne, obviously investors have the ability to pre-submit questions, and I know you've also received a number during today's event. Perhaps, I could hand back to Jaco to address those questions. If I could ask you to read them out and where appropriate, give a response, and then I'll pick up from you at the end, if I may.
Jaco Prinsloo: Okay. That’s 100%. Okay. I think, Mark, first I can start with maybe the first one. And somebody had asked us, can you please give your views on the PGM commodity price movements and your thoughts on the outlook? And then there was a following question in a group together, the same team is, also could you please explain how you manage commodity price risk, if you use -- if you have sold futures and the market doubles, how do you consider cash flow impact or the margin payments and have you considered using an option strategy? So I think I've -- when we look at the PGM prices and the market, I think I talked to you maybe in those last three slides, give an idea of it. I think what we have seen in the last few years, people use rhodium specifically, and I think maybe we're focusing on rhodium since it's been making up 60% of our revenue in the past financial year, and it's a large exposure in our growth. So, I think rhodium being primarily, South Africa producing more than 80% of world rhodium, that what happens in South Africa, I think plays a big role and what happens today with the rhodium prices. But from a supply and demand -- well, from a supply concern point of view, we know that rhodium primarily consumed in the autocats industry and therefore the demand is strong. It has been impacted by the slowdown in vehicle sales, also correlated to COVID and also to the semiconductor shortage that recently hampered co-production sales.  But on the supply side, I think more importantly, when we saw the big increase in rhodium last year, it came on the back of the hard lockdown in South Africa where most PGM miners were impacted for that six to eight week period of COVID, when the government put the country on hard lockdown. And also in that same period where Anglo American Platinum’s furnace blow up and downtime that happened and Anglo again, is one of the largest producers of PGMs in South Africa and then South Africa and the world created -- this created quite a big shock from a supply concern point of view. And I believe that’s one of the big reasons why we saw the rhodium price increasing significantly. There are obviously other reasons as well, but those two in particular have spiked widespread concerns about the future rhodium supply.  And as the mine started ramping back up and as the Anglo also started releasing the inventory, suddenly the supply of rhodium have eased and we've seen a stabilization in the price. I think what's positive is that, the rhodium demand and supply demand equation still is forecasted to remain in deficit. Rhodium we know in its application in nitrous oxide, I guess emissions control is unique and unlike platinum or palladium, where you can look at substitution between the two depending on where the price go, but rhodium is quite unique. So, I think that remain robust and going strong. I don't think at the historical levels that we forecast that I am -- I would be hesitant to give you a number. I think I've given a range in the presentation where we expect it to be. But I think it's very difficult to pinpoint it.  And with platinum and palladium, I think palladium definitely also forecast to remain in deficit and therefore the price should be strong. People say yes, what about substitution with platinum? And I think when that occurs, we will see uptick in the platinum price again, and luckily, we have exposure to both of those metals in the market. So I think, that answer the part on the commodity price movements.  In terms of us looking at futures or hedging on the metals, no, we don't have a hedging strategy, we don't sell any futures. And as a Board, we've had mainly seen there volatility and enabled the -- in order to predict what the prices are going to do, is very difficult. And it's also not like there are many institutions. I think in South Africa, there's one institution that is prepared to hedge rhodium for instance, and, I always use the example. I said, had we hedged two years ago, we would have missed the last year rhodium run. And at the time when we were seeing rhodium levels at $20,000 to $30,000, $25,000 to $35,000 an ounce, you could afford that, that would be a good opportunity. But then there was also quite widespread forecast in terms of where we'll go to. So no, we currently don't have a strategy and don't intend to in the short-term to do that. So we are not exposed in a -- drop -- so either prices would pull back, we are selling at the market price and based on our off-taker. And yes, so there’s not any futures or hedging strategy there. I think, if I go to the next question, it's related to power and said how all the challenges of power supply impact to you in particular. Both problems at Medupi Power Station impact on production output at Sylvania in the next three years?  So I think there are our two points here, generally, how are we impacted and I did say in our results announcement under some of our focus areas. We have had some downtime during the year, not related to load shedding, in particular, or related to the supply capacity of the national utility of Eskom, but more related to vandalism and cable theft of infrastructure. And that's what we've been seeing. We as a group haven’t really been interrupted by the capacity of power in the recent years, and even when we have the high stages of load shedding in South Africa, the mines manage to still keep on going. But the supply infrastructure from the surrounding communities and so on, that remains a concern. As unemployment after COVID certainly increased and poverty is high, we get more of those instances, and that does cause power disruptions and we are working couple of strategies to see how do we -- the shorter term disruptions we address. When one look at the question about Medupi Power Station, and maybe for the people who are not aware of them, the Medupi story and we've had in recent months, I think, in this past month, there was an explosion at one -- at Medupi Power Station where some of the generating units have been damaged. And I think if you look at Medupi on its own, I think it's less than 10% of the overall Eskom power generation. I think it's just less than 5 gigawatts, if I ever brought, and I might stand to be corrected, but it's generally -- it's definitely less than about 10% of Eskom's total generating capacity. And since the explosion happened, in that first few days after the explosion, there was some domestic load shedding in the country but since then nothing big on the overall affecting the mining arena. So we don't anticipate that to necessarily have impact on us.  However, you know, power in the mining industry remains a concern and as the mining industry need to grow, and our national utility supplies remains basically flat or even declining because of availability sometimes. It is on the -- high on the agenda but government is trying to address that with the recently announced regulations that would allow mining companies or individual companies to generate up to 100 megawatt of power. There are some other regulations around that, that is not -- that still needs to be clarified in terms of can you put it back in the grid and how it will be done. And I think that will alleviate also a load on the national utility.  I think in the last month or so, the Minerals Council of South Africa released the paper that just quoted that says that, just some of the mining clients or subsequent members of the Minerals Council of Africa have already identified about 1.6 gigawatt of independent power facilities that they're ready to roll out, and I think that would be those kind of initiatives to be significant to help to alleviate the pressure on the overall power grid in South Africa. So that would resolve it. But we’re keeping our eye on that, and continuously evaluating our options.  Another question we got and there was actually a few questions related, I think, four or five questions, all asking about the impact of the recent civil unrest or social unrest in South Africa. And is that -- has that been impacting on Sylvania's operations at all? And I think the -- we were fortunate enough that I can answer and say no, it has not. We -- our operations, as I shared on that map earlier is in more to the Central and Northeast of the country, in Mpumalanga province, and North West and most of those unrest and rioting and looting has been in the [indiscernible] on the coastal areas, KwaZulu-Natal and also in [indiscernible] Central, and we haven't been affected.  That being said, I think it's important for us to maintain that good relationship with our surrounding communities and ensuring that when there is instances like that, that you have at least the support of your neighboring surrounding communities. I think even in Africa, some of you might have seen in the news that when malls and areas have been looted, you had other areas of a community standing together and protecting and helping the police and the armed forces to protect it. So I think it's always good maintaining good social relations with our communities, but we are fortunate that we haven't been impacted. And don't expect to be impacted by any of the unrest that we've seen in July.  I think there's another question to say, can you talk a bit more about fundamentals of the business and the likely impact of switching to EVs? And I think and I interpret correct, this is, if I assume EVs referred to electric vehicles and then reading the question. I guess it's -- the investor was wondering the impact on metal prices with the switch of vehicles to electric vehicles rather than in the normal combustion, conventional combustion engines. And would that have an impact because of a lower catalyst demand?  I think there is -- when you look at the development and the trends in EVs recently, there are obviously quite a variety of different electric vehicles that you can get. And it do depends, is it battery electric, hydrogen electric fuel cell vehicle. So, I think there is definitely worldwide we can see a major progress in that regard and the development is progressing quite well. But, I think what is for us from a PGM market and company perspective quite encouraging is that a lot more of the focus or a lot of the focus is at the fuel cell and the hydrogen and electric vehicles, where there's some form of -- that PGM still plays a role. And I mean in some of the fuel cell vehicles you even have a higher PGM consumption per vehicle than on the conventional catalyst. So, I think there is opportunity still there. I think when you look at especially ranges, vehicles can travel, your more industrial trucks, buses, trains kind of vehicles, battery power on its own is becoming very expensive, very heavy to fill, and therefore hydrogen electric vehicles and fuel cell vehicles becomes a much more attractive option. And I think that's where we still expect PGMs to still play an important role. And I don't think in the near-term, we are overly concerned about that. And I think the markets, as we said earlier, should remain robust. Another question -- and Mark, you must guide me on time. I'm not sure how much time we have. I'll go to one of the next questions.
Unidentified Company Representative : Yes. Please feel free. I think there's a few more for you to go, if you could spare the time, that'd be brilliant. Thank you.
Jaco Prinsloo: Another question I had is to say, will the company consider acquisition in the short to medium-term?  And I think I've said that we are constantly looking at growth projects and opportunities. And I would never rule out acquisitions anywhere. We are in the fortunate position that we have an alpha cash balance and a good business model and a production or a revenue profile going forward that we certainly would be able to do that. But it's important for us that the investment from the metals are attractive and that we can continue adding value.  I think, rather than maybe pure acquisitions and what we are seeing a lot more is more partnerships and also maybe [pool and share] kind of agreements. We -- as I said, there’s -- you quite often get chrome mining partners that have the chrome mining resource. But have realized for our business model and some of our peers in the industry that when you combine it with the PGM business case, you could actually mine chrome resources that in the current chrome market you would not want to exploit, and it would not be worth a while, and we are significantly -- as I said we’re evaluating quite a few significant opportunities in that regard to see is there a business case that we can add value? So, as I said, be it a potential acquisition but I think, more properly partnerships, strategic partnerships or [pool and share] agreements that we might typically consider.
Unidentified Company Representative : Yes. So, maybe it's an opportune time because I can see for every question that you seem to answer, there is another two or three that follow shortly afterwards. I'm also mindful of time and I know that you have a couple of meetings scheduled for after this. And thank you, firstly to all investors that have taken time to submit their questions. And of course, all of these will be presented to the company for them to review and where appropriate we will publish responses back to you.  But perhaps Jaco, I could just ask you so maybe one final question. I know, investor feedback is important to you. And then we'll ask you for a few closing comments and then direct investors.
Unidentified Company Representative: Okay, thanks. Okay. Let me close with this one. I think there’s also, again, three or four different questions that are exactly the same line. And this one said, please, could you elaborate in detail on the contract life of mine and the growth initiatives moving forward?  So I think, first of all, maybe this in the contract life of mine, I think the one other question said, for how many years, do you have access to current arisings and ROM?  So our existing agreement with our host mines, where we currently operate for the life of mine, those operations, and with our host mine being a private company, and not a listed entity, you don't always have the full resource disclosures and the line of sight in the market. But we do know that we have it for life of mine, [indiscernible] that is still in approximately another 25 or 30 years. They have one of the largest resources, [Scrum] resources, largest and most attractive resources still in the country and I believe one of the largest in the world.  So we believe this is quite a significant life of mine. What could change if we don't add growth projects at the profile? The once profile could change, where we’re currently looking at saying, we believe we could comfortably be between -- say, between 60,000 and 70,000 or 75,000 ounces for another 10 years. After that we might do when you rely purely on the characterizing arisings and raw material that could taper down maybe 10,000 ounces or so. That's still a profitable life based on our current pricing and cost assumptions. So we believe there’s adequate life.  But I think more importantly, and we have seen it during our initial growth profile, this was a couple of years is that being the size company that we are, we -- our fixed cost base is -- well, as I said, we have our fixed costs covered and but we have a potential with our current base to manage more, and to unlock more potential. And if you add more ounces, and you can grow that ounce profile, your unit costs can be lowered and becomes more attractive.  So we certainly are looking into adding more growth projects. And I think the previous two questions, and what I said in the presentation covered that as well that we are aggressively looking at opportunities. I believe there are some attractive opportunities available and I believe that we are ideally uniquely suited to add value in such a synergistic relationship. And to that, we would be able to grow the company going forward.  So, yes, with this, I thank you for the questions. 
Unidentified Company Representative: Jaco, thank you very much indeed. And thank you to everybody who submitted those questions. Jaco look, I'm going to redirect investors to provide you some feedback. So they can give you their thoughts and expectations. But perhaps before doing so, if I could just ask you for a few closing comments.
Jaco Prinsloo: Thanks, Mark. Look, I think as I started and said earlier, it's been a difficult year for us particularly still dealing with COVID and then more on a emotional and impact on the people rather than physical production related. And for host mines being down, it was -- it presented challenges to us. But I'm extremely proud of how our team came together and overcame those challenges to produce a solid set of results. And I'm also extremely proud and very positive about the fact that we are able to again declare solid dividend and have solid growth in our dividend, in our annual dividends over the past few years. And it’s very quick to point out because sellers and investors must not expect that you're going to double it every year. And I think, we -- certainly, I would love to do that but I think what we said is we want to be a stable and consistent dividend payer. And, we want to return value to shareholders. And I think, what we've been doing over the years and what we continue to do -- what we aim to continue to do should be able to put us in that position.  So thanks again, for all the support. It's not always easy. I think everybody else says, I know dears how the company should be run. But hopefully we're doing it the best we can and in a way that returns value to not just our stakeholders here on the mines but also to our shareholders on the call. Thank you very much.
Unidentified Company Representative : Yes. Jaco, Lewanne, thank you very much indeed for updating investors once again. Can I please ask investors not to close this session as you will now be automatically redirected in order that to provide your feedback and all the management team can better understand your views and expectations. This will only take a few moments to complete but I'm sure will be greatly valued by the company.  On behalf of the management team of Sylvania Platinum, I would like to thank you for attending today's presentation. That now concludes today's session.